Jonas Warrer: Hi, welcome to Gentoo Media's quarterly presentation for Q4 2025. My name is Jonas Warrer. I'm the CEO of Gentoo Media, and I've been looking forward to present our business and our business results to you today. Gentoo Media is a leading affiliate in the iGaming industry. We help online Sportsbooks and casinos acquire higher-value players, acting as the bridge between players and operators. Affiliates are a vital part of the iGaming ecosystem. For many operators, affiliates are the main driver for player intake. You can say that we have the online stores that players visit before they decide where to place a bet or open an account. Getting to the Q4 2025 executive summary. Strongest quarter of 2025 for revenue, profitability and cash flow generation. Margin expansion driven by a structurally stronger cost base and disciplined execution. Q4 delivered record end user deposits. We also strengthened visibility across search, emerging AI-powered platforms and paid campaigns, supported by product enhancements and a positive December Google Core update. We see strong EBITDA to operating cash flow conversion, delivering full year operating cash flow of EUR 33 million. Q4 demonstrated operational resilience in a year impacted by Brazil regulation and market volatility. Revenue generation in 2025 is not where we wanted to be, and it has disappointed us. However, with the actions taken during the year, we enter 2026 with a structurally stronger business, with clear growth opportunities across core markets and continued focus on cash generation. It has been a rough year, but it has also been a year that has made us stronger. Going to the financial highlights of the quarter. Q4 delivered the strongest revenue and EBITDA performance of the year. Revenue ended at EUR 25.6 million, down 16% year-on-year, but up 13% quarter-over-quarter. The shortfall versus expectations was driven by softer December sports margins, while the year-over-year decline also reflects the sunset of low-margin activities in Q4 2024. Personnel and other OpEx ended down 33% year-over-year, reflecting the benefits of earlier cost rightsizing activities that were executed during the year. Year-end adjustments increased other OpEx by EUR 0.9 million in the quarter. Marketing spend was EUR 5.7 million, down 38% year-over-year, with the marketing ratio improving to 22%. EBITDA before special items reached EUR 14.9 million versus EUR 10.1 million in Q4 last year and up 16% -- 60% quarter-over-quarter. Special items totaled EUR 1.6 million. Cash flow from operations was EUR 11.4 million versus EUR 7.3 million in Q4 last year. If we look at Q4 this year and compare to Q4 last year, we can see that we have seen a decline in revenue, but we have also seen an increase in EBITDA. Going into revenue and a bit into the revenue details, 59% of revenue come from recurring revenue share agreements. Revenue in Europe decreased by 20% compared to Q4 2024, although revenue generated by the Nordic market remained stable. Revenue in the Americas declined by 11% year-over-year, with North America revenue growing over 40% year-over-year and reaching record levels. If we look at Q4 and compare to the previous quarter, all notable regions grew quarter-over-quarter with North America leading at 62% quarterly growth. Europe and the Americas contributed respectively, 56% and 22% of quarterly revenue, remaining core focus regions for the business, in line with previous quarters. Looking into player intake and value of deposits. Player intake reached 102,900 FTDs in Q4 2025. North America player intake more than doubled year-over-year and now accounts for nearly 20% of Q4 intake. Player intake from Europe declined year-on-year with the Nordics remaining broadly stable. The development reflects continued focus on higher-value markets and a more consolidated website portfolio following the strategic realignment that was executed earlier in the year. When we look at value of deposits, Q4 deposit values reached an all-time high of EUR 202 million. Full year deposit value reached EUR 774 million, slightly above 2024 numbers despite this being a year with Brazil regulation and the absence of major summer sports events. Going to the operational highlights. If we look into Publishing business, revenue grew 8% quarter-over-quarter with notably fixed fees improving. Publishing revenue experienced a softer-than-expected seasonal uplift in December, impacted by lower sports margins. The December Google Core update had a net positive impact. Flagship brands, including AskGamblers, saw traffic recovery following targeted SEO and content optimizations. We also piloted our next-generation WordPress platform, improving page speed and technical performance. The wider portfolio will benefit throughout 2026 as the platform is rolled out. CRO and product capabilities expanded alongside continued focus on omnichannel visibility across both search as well as emerging AI-driven platforms. Publishing enters 2026 with improved visibility, a stronger technical foundation and a more scalable platform. Moving to Paid and Paid highlights. Quarterly revenue increased 36%, driven by U.S. market expansion and broad channel improvements. Year-over-year, revenue declined 22%, reflecting the sunset of lower-margin Q4 2024 activities and the effects of the Brazil regulation. Following a strong October and November performance, December revenue was softer than expected due to lower sports margins. A larger share of marketing spend was allocated to the U.S. in the quarter, focusing on opportunities within Prediction Markets and DFS. Paid and Publishing strengthened cross-functional collaboration with the aim to improve and grow our CRM channel in Paid. Paid moved from reset to rebuild during 2025, improving unit economics and entering 2026 in a stronger position. Looking at events post quarter, in late January, Gentoo Media initiated a refinancing process of its existing bond. The net proceeds are expected to repay the current Bond and RCF facility. Management is currently evaluating whether the potential new bond terms are attractive for Gentoo Media and for its shareholders, comparing with alternative financing options. We will inform the market as soon as a decision is made. Summing up on the quarter, strongest quarter of 2025 for revenue, profitability and cash generation, demonstrating a structurally improved operating model and a structurally stronger business. A stronger cost base, drove margin expansion and improved cash conversion. Record end-user deposits and healthy underlying activity confirms continued strength in traffic quality and continued strength in our commercial engine. Visibility across key brands improved across search, paid channels and emerging AI-driven platforms, supported by product enhancements and a positive December Google Core update. Paid and Publishing exited 2025 with stronger unit economics, with closer commercial alignment and a more scalable operating platform. As said in the beginning, revenue generation for 2025 is not where we want it to be. However, with the actions taken during the year, Gentoo Media enters 2026 structurally stronger with improved visibility, a stronger underlying business and a scalable platform to drive sustainable cash-generative growth going forward. Thank you for listening in. This concludes our quarterly presentation. I would like to take this opportunity to thank our employees for their hard work and dedication in a demanding year. Next, I would also like to thank our shareholders for their trust and support throughout the year. We have an exciting year ahead of us. Gentoo Media enters 2026 as a stronger business. Our publishing portfolio demonstrates higher quality and our paid division now operates with higher efficiency. This year will also bring the largest sports event in human history with the World Cup this summer as a key growth driver for 2026. Lastly, I would like to thank you, the listener, for taking your time to hear this presentation. Thank you, and see you next quarter.
Hjalmar Ahlberg: Okay. And now we move over to Q&A. So welcome, Jonas and Mads. Maybe starting a few questions on the headline numbers. Maybe Q4 for top line, you mentioned sports win margin. I mean that varies from time to time. But would you say that December was kind of an exceptional impact, if you could quantify something? Or is it more a normal variation there?
Jonas Warrer: I would say December was lower than we normally see and lower than expected, definitely. And then in broader terms, I think also for -- notably for our Publishing portfolio, we saw a gentler seasonal uplift than we normally do in December. So we had a very strong October and November, but December fell short of expectations there, both in sports margins and then also a little bit lighter, as I said, gentler seasonal uplift than expected.
Hjalmar Ahlberg: Yes. And you saw solid profitability here, good cost control. How should you look for the OpEx from here? Will you start investing more for growth again? Or do we see more opportunities to optimize the cost structure?
Jonas Warrer: I think the main focus is what I would call disciplined growth. Of course, we have really optimized the business, and I think we have a structurally much stronger cost base. Is there room to optimize further things? Maybe. But I think the focus now is, of course, of cash generation and a token in that respect, an important factor in that respect is, of course, also that going forward that we manage to grow revenue going forward. So I would call it disciplined growth and disciplined investments. We should go where we see opportunities and where we see that we can generate revenue with high margins.
Hjalmar Ahlberg: Makes sense. And also a question on how to understand this. You had a kind of a positive impact from the derecognition of a customer liability. Is this something that happens from time to time in the business? Or if you can give some more information how to view that number?
Mads Albrechtsen: Yes. It happens from time to time in our business. It was just a quite high amount in this quarter, and that was why we felt that it was more fair to show it separately on one line item. But yes, it is something that happens in a daily business.
Hjalmar Ahlberg: All right. And you highlighted there in the presentation, a few slides on the regional development there. And it was impressive to see North America growing quite quickly, and you mentioned Paid media there. Could you elaborate a bit more on what drove that growth in North America?
Jonas Warrer: Yes. So we made movements within the DFS and Predictions Markets. I would say, material movements in Q4 for Paid. So very excited about that. And now North America nearly makes up in the Q4, 20% of our player intake. So of course very positive about that. So going into 2026, exciting to see what we can get out of that. Of course, with the note that the U.S. and North America is also characterized by seasonality. So -- but it's very positive to see that we have made a breakthrough into North American market.
Hjalmar Ahlberg: And interesting about the Prediction Markets. I mean how do you see that business compared to traditional betting operators? Can you elaborate a bit on how you get paid? I mean, is it very similar model where you fly a new client and you get paid? Or if you can give us some information on how it works if it's different compared to betting?
Jonas Warrer: Yes sure. A very similar setup. Of course, it's a new area for us. So if we -- as you know, in Paid, we can move fast and if we want to make a move in our publishing business, it's about building up assets and websites that ranks right. So this is something we are working on and have also worked on in the start of 2026. It's equivalent to ranking well for casino or sports betting keywords. So for Publishing, it will be a little bit of a longer journey, but it's something we are working on and are excited about. And of course, then also very happy to see that we have this, if I can call it, luxury situation where we can both use Paid for the short term first and then move in with Publishing when we see the positive results we have seen.
Hjalmar Ahlberg: And also -- I mean, on South America or LatAm Brazil, I have a few questions here coming from the audience as well. I mean, how should we view that market from here? Do you think it has stabilized? And I mean, what's your view on South America in general, I guess, as well?
Jonas Warrer: I think the market has stabilized in Brazil now in the sense that we have seen material improvements throughout 2025. If we talk specifically about Brazil, of course, it's a market that we think has strong potential. It's a market that we can generate good business in. But of course, also looking at how the situation has been in '25, it's not a market where we're going all in. So again, disciplined approach here. We are growing there, and we see partners performing better. But we are, of course, also cautious to not overinvest based on the volatility that we have seen in 2025. On the broader lines, I would say Latin America is, of course, interesting market. I think the value for Latin America will go up for us over the next years as more and more of the market adapts into casino. What you normally see, at least what we have seen in other markets is that you start out with sports betting and then later, the broader market adapts into casino. And as you know, this is where we are strong right in casino. So I think longer term, the Latin American market will have more and more value for us.
Hjalmar Ahlberg: Got it. And also a question on Europe. You mentioned that you were down 20%, I think, year-over-year. Anything particular happening there? Or if you could give some flavor on that number?
Jonas Warrer: Yes. No, I would say the main flavor to give is that the Nordics remains a stable market for us. Also in the Nordic region, we saw some volatility in more what you call Central Europe. So of course, trying to see what we can do about that. Some of the players there that we did also had, I would say, lower value. So also as part of our strategy to focus the portfolio, there was an effect from that. So there is a lot of players being made from the strategic realignment that we did in April. So you can say short term, we have probably said no to some revenue and to some player intake short term with the goal of making more revenue longer term.
Hjalmar Ahlberg: Understood. And also, I mean, Google update always changes every quarter. It sounds like you had a positive effect overall this quarter. Anything you want to add there? Or is it a typical update, which can impact in various ways, I guess?
Jonas Warrer: Yes. It was an update we have been waiting a long time for and one we prepared very much for. So very positive to see that we benefit from it. The latest update before that was in September, and that came a little bit as a surprise to us that a few of our assets got negatively impacted there. So of course, very happy to see that we managed to do a fast turnaround and can prove that we consistently are able to deal with search volatility and to maintain strong visibility in search.
Hjalmar Ahlberg: Okay. And you also mentioned investments in AI-driven platforms. Is that the kind of experimentation or do you see, I mean, material effects of those investments in terms of am I getting anything after this?
Jonas Warrer: No, that's a very good question. Very interesting question, of course. We don't see any changes in search behavior right now, notably when it comes to transactional searches where users are just before they decide to place a bet on an open account with an operator. We haven't seen that impacted. But of course, we know that AI-driven platforms might take over and will take over some parts of users. So of course, we have also started optimizing for that. And I think a very clear message here that I think is important to note is that when you optimize for traditional search -- do traditional search optimizations, actually, to a very large degree, you're also optimizing for strong visibility in AI-driven platforms. Then there is a few nuances that you can say that you need to do when you -- if you want to have higher rankings or high rankings in AI-driven platforms. But a lot of the groundwork is the same. So I think we have actually in most of 2025 been on that journey. We will probably add a few extra things to activities now. And honestly, I see this more as a hedge. If the users are turning more and more into AI, we also want to be there. We haven't seen that movement yet, but we know that what we are doing and what we are working on will have a positive effect on ensuring high rankings, if I can say that, a high visibility in AI-driven platforms. I did a test myself some days ago to see to what degree our sites are used as sources, for instance, on ChatGPT. And that was a very positive result, I would say, for me personally when I saw that our sites are seen as authority websites. So will continue what we do, add a bit extra flavor and then ensure that we have maintained high visibility, whether it is in traditional search or in AI-driven platforms.
Hjalmar Ahlberg: And also a question here from the audience that there's one person that sees that industry-focaled sites like maybe NEXT.io or getting premiered by Google. Is that something you see? Is it something that you reflect on when you put content on your site, so to say?
Mads Albrechtsen: I think that reflects right that there has been a move from Google to use, you can say, reward at 40 websites. It's in line with what we already do. And we also have strong at 40 websites. Next.io is just another competitor joining out of many. Nothing specific there, anything notable there beyond, of course, that they have managed to do good in the market, so yes...
Hjalmar Ahlberg: Interesting. And then moving over to the guidance for 2026. I mean it implies that you're returning to growth. I guess one question is, I mean, you mentioned the Football World Cup, of course. How important is that for the growth just as one part? Or is that maybe that the year will be more seasonality driven by the quarters during the World Cup? Or how big is that event for your outlook for 2026?
Jonas Warrer: I would say the event that's a bit of extra sugar in the summer months that normally are very low season for us. So what we see or what we expect from the World Cup this summer is that instead of having very low summer months, we have very good summer months. We also use an event like the World Cup internally to strengthen our position within sports and to drive our sports assets forward. So there's a lot of positive, you can say, more indirect thing coming out of a big event like that. And then, of course, as we know, as we have seen before with bigger summer events that when the event is over, players have active player accounts or funded player accounts. And then we normally also see a benefit on our casino earnings after that. But it's not that the World Cup is going to save the year for us. It's an extra benefit and extra driver, but it is, of course, a sustained push throughout the year that will drive Gentoo Media forward.
Hjalmar Ahlberg: And also a few questions from the audience here, if you can comment anything more on January and February this far. I think you mentioned some input in the preliminary announcement of the results. But if you have any flavor, that would be interesting.
Mads Albrechtsen: January ended in line with expectations, maybe a little bit higher. Then February started out softer with lower sports margins. I think that's a thing that has been noted in the industry now that the sports margins that started in February were low. So we have to see how the remaining part of February plays out. And then, of course, very excited for March ahead of us.
Hjalmar Ahlberg: And looking at the EBITDA guidance and the implied margin, it looks like you're aiming for a recovery as well. Do you also see, I guess, less special items this year because you had a lot of things going on this year, if you could update on that?
Mads Albrechtsen: Yes. I think if we take the special item bucket, they mainly covers 3 different items. One thing is the redundancy part, which has been, of course, natural in a year where we had to, unfortunately, say goodbye to a lot of employees due to reorganization exercise in April. That bucket will naturally go away going forward. Then we have had a lot of investments coming out of the split. The split was made in Q4 '24. So there was also cost running into '25 related to split. That bucket will naturally also -- goes down. And then we will have a third bucket, which is more or less normal if people are resigning and not being replaced or there is important operational projects or whatever, but the bucket overall is expected to go materially down.
Jonas Warrer: If I can add also, historically, we have always had very strong EBITDA margins. And I think what we have now seen is that we have restored the strong EBITDA margins that we have. And I think that's, of course, also an aim for the future, so yes.
Hjalmar Ahlberg: And also, if you can -- I mean, look longer term, I mean, now you have said that growth is coming back in 2026. What do you think about the longer-term growth rates? I mean, should you look at the kind of online gambling industry for what should be reasonable for your business as well? Or if you can give some input on that would be interesting to say as well.
Jonas Warrer: I think we have enough opportunities in 2026 to stay within iGaming, if that's what you're asking. That's a lot of interesting markets, a lot of interesting opportunities. Alone as we said, there's Prediction Markets now in the U.S. We also saw positive movements in DFS, sweepstakes. We can still grow in some of the markets that we have been in for many years. So I would say for '26, it's about the disciplined execution, getting more out of our websites, intensifying the conversion rate optimization efforts we do, so we can monetize our user base even better. We have just launched a loyalty program on AskGamblers. Then, of course, we need to ensure that we monetize that to the fullest. So you can say there is a lot of initiatives that we are doing and have done that we just need to keep on doing and do better and better. And then I think there's enough opportunity in the market for us right now in '26. Beyond that, the iGaming market continues to grow. But of course, we are aware that we have very strong capabilities, I would say, both in search or sale and also in paid campaigns, right? So of course, there is an opportunity at one point to look beside the iGaming market. But I don't see that happening, at least not in 2026. We have a lot of opportunities that we want to take, claim and also gain market share.
Hjalmar Ahlberg: Got it. And also my question on the EBITDA margin guidance or the EBITDA guidance. What kind of -- what can drive the upside, downside? And I mean, looking at this year, the guidance compared to maybe last year's guidance, how convinced or certain are you that you will be able to deliver on the guidance?
Mads Albrechtsen: I think we are fairly convinced and quite conservative. We have also provided a quite big of a range to the market, making sure that, of course, we are quite early on giving this guidance to the market. And as Jonas was saying, we need some room to do investments if that's needed to drive revenue and opportunities. But of course, it's also evident if we look at our current cost base, we can actually just take the cost base in Q3, which is maybe a bit more structurally reflected where the business long term is looking like on the cost side. Then if we take that cost base and apply on a full year basis, then we can add EUR 5 million to EUR 6 million on top of our EBITDA performance in '25. And then we are quite close to what we have guided to the market, I would say, for next year. So we are convinced that we can reach within this guidance. And I can say that with the cost base we have today, we can also look into a first quarter where margins are significantly better than Q1 '25.
Hjalmar Ahlberg: All right. And if you look at the '26 year -- I mean, 2025, you had the change to Brazilian regulation, which impacted a lot. If you look at the different regions you are active in during 2026, do you see any countries or regions where there are any material changes that you know as of now that could have any impact this year?
Jonas Warrer: There's, of course, a tax change coming in the U.K. that we think will have a marginal effect on us. I think there, it's more about understanding which way our operators going, our partners and which operators they want to stay or invest even more and who wants to maybe scale down after that change. So that's something we are looking into and engaging with partners on. Then is it in the summer of '27, there will be a change probably in Finland. But I think that would be the 2 main markets right now I would highlight as where we see a change, at least the markets that matters to us.
Hjalmar Ahlberg: Okay. And also interesting there that you have your refinancing that it looks to progress well and you state that you are evaluating bond versus other types of financing. I don't know how much you can tell us, but is it the cost of the debt, the maturity? Or what are you evaluating, so to say?
Mads Albrechtsen: We are evaluating all kind of the buckets there, both pricing terms, general conditions. We have been in the bond market very long, and we have -- we are pleased to have seen all the support we have given from bond investors throughout many years. But of course, there's always a price and attack to everything, and that's why we're currently evaluating what would be the best solution for the company going forward. Preferable, of course, it could have been good to go out today and tell the market about our considerations and where we are. We are not there right now. We need to assess this very carefully, and that's why we are giving, you can call it, the announcement today that we are evaluating the options we have on the table, and we will share the news with the market within due course.
Hjalmar Ahlberg: And I mean, looking at the guidance for '26 and the pretty solid cash flow you had now in Q4, how do you think we should view leverage going forward? Do you think it's good to have a sort of leverage in your business? Or are you aiming to have only a margin leverage longer term, if you can give some input on that?
Mads Albrechtsen: Yes. I think it's fair to say that throughout '25, of course, our leverage climbed above 3 for the first time, at least for many years for the business. We preferred leveraging close to 2.5, something in that ballpark. We think that that's good for our business that we always have some room for growth and investments, which we have done in the past as well. So I would say, from a structural point of view, in the bucket, close to 2.5 would be a preferable leverage for us. By year-end, we have climbed down again below 3, and we expect the numbers to come further down throughout '26 and especially the first half of '26, impacting by 2 main things. Of course, that our profitability is getting better. We are still -- if we look at last 12 months numbers, we are still heavily impacted by the first 2 quarters of '25 with kind of a low profitability compared to second half of the year and especially profitability in Q4. And the other thing is that we have taken the amount of cash flow we have generated here in Q4 and reduced our debt position as well, overall with EUR 5.5 million throughout the quarter. So I would say, on both ends, we expect leverage to climb down to a structural level 2.5 in a mix between higher profitability and reducing debt.
Hjalmar Ahlberg: All right. And also, it would be interesting to hear something about if you can give some view on the M&A market. I mean both -- I mean, you've historically done some acquisitions, which have been good. And also interested to hear Genius Sports acquired Legend. So it seems like new players are entering the media affiliate space. If you have any interesting comments on that would be nice there as well.
Jonas Warrer: Yes, that was, of course, a very interesting movement. There is a lot of opportunity, I would say, right now in the industry for M&A. But I think we have a very clear opinion here that we are not there right now. We have a focus on disciplined growth now, derisking the company, being very cash generative. And I think that's the focus. Then of course, if an opportunity comes up that is too good to say no to, then of course, it's something that the Board will need to discuss together with us and then things can change. But I would say at this stage, M&A is not something that is, I would say, relevant for us, we would rather continue the discipline that we have always been very good at, which is growing the business organically. We have also done some good M&As, right, but we have always been very good at growing the business organically, and that's a focus also now for '26. It's interesting to see that new players, of course, are joining the market as acquirers. I think that's probably positive for the market for obvious reasons. So yes, interesting to see how that will play out also in '26.
Hjalmar Ahlberg: All right. Thank you very much, guys.
Jonas Warrer: Thank you very much.